Operator: Good day. And welcome to the ADDvantage Technologies Fiscal 2021 Second Quarter Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Brett Maas, Hayden IR. Please go ahead, sir.
Brett Maas: Thank you, Operator. We are joined today by Joe Hart, President and CEO; as well as Donna Guy, the company's Controller. Before we begin today's call, I'd like to remind everyone that this conference call may contain forward-looking statements, which are made subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements include, among other things, statements regarding future events, such as the ability of ADDvantage Technologies and its subsidiaries to maintain strategic relationships, and agreements with certain original equipment manufacturers and multiple system operators, as well as the future financial performance of ADDvantage Technologies.
Joe Hart: Thank you, Brett. And thank you to everyone joining us on the call today. We are finally seeing the long awaited acceleration in 4G and 5G Tower work by all of the wireless carriers. Over the last few weeks, we have received a significant increase in site awards and initial purchase orders. In the aggregate, the awards received today indicate that wireless revenue in the second half of calendar 2021, the period encompassing our fourth fiscal quarter of this year and first fiscal quarter of next year will be doubled the levels we will report in the first half of calendar 2021. There are additional sites still to be awarded. In fact, the initial awards are just a small part of the overall scope of work. So we have quite a bit of upside in our future. The initial awards are from multiple carriers in several markets, we expect additional markets to be awarded over the next few months.
Donna Guy: Thank you, Joe. Sales for the second quarter of fiscal 2021 were up 8.4% to $12.7 million, compared to $12 million in the second quarter of fiscal 2020. The increase of $700,000 was driven by a $1 million year-over-year increase in the telco segment partially offset by a $300,000 decrease in the wireless segment. Gross profit increased by $3.6 million to $3.2 million compared with a negative margin of $439,000 for the same quarter last fiscal year. This was due to an increase of $2.3 million in our Telco segment related to the prior year quarter's charge for obsolete inventory of $2.1 million and an increase of $1.3 million in our wireless segment due to increased operational efficiency. Gross profit margin was 25% compared to negative 4% for the prior year quarter. Operating expenses were relatively flat at $2.2 million for the quarter, compared with $2.1 million for the same quarter last year. Selling, general and administrative expenses for the quarter increased by $900,000 to $3.8 million compared with $2.9 million for the same quarter last year. The increase relates to increase personnel costs, such as non cash stock compensation of $100,000, executive severance of $215,000, as well as increased computing and communications cost of $200,000, an increase selling costs of $400,000 compared to the same period last year. Net loss for the quarter was $3.1 million or a loss of $0.25 per diluted share, based on 12.4 million shares, compared with a loss of $14.7 million or a loss of $1.41 per diluted share, based on 10.4 million shares for the same quarter last year. Net loss for the prior year fiscal quarter included an $8.7 million impairment charge related to intangible assets including goodwill, and an inventory obsolescence charge of $2.1 million. Adjusted EBITDA with a loss of $2.3 million for the second quarter of fiscal 2021 compared with an adjusted EBITDA loss $5.4 million for the same quarter last fiscal year. Adjusted EBITDA loss for the second fiscal quarter of 2020 included the inventory of solutions obsolescence charge of $2.1 million. Turning to our balance sheet, cash and cash equivalents were $5.2 million as of March 31 2021, compared with $8.4 million as of September 30 2020. Cash was used primarily to fund operations. As of March 31 2021, the company had net inventories of $5.7 million, up slightly from $5.6 million at September 30 2020. Outstanding debt went down by $1 million to $7 million at March 31 2021. Debt was comprised of $2.8 million under our revolving line of credit, a $2.9 million PPP loan for which we have applied for forgiveness, and $1.2 million of finance lease obligations. Debt as of September 30 2020 was $8 million, which was comprised of $2.8 million under our revolving line of credit, $4.1 million of notes payable including the PPP loan, and $1.1 million of finance lease obligations. We continue to believe we are sufficiently capitalized with appropriate back stocks to support near term business means as more normalized business conditions fully returned.
Operator:  Our first question comes from George Gasper, a private investor.
UnidentifiedAnalyst: Yes, thank you. Good afternoon, everyone. Very positive to hear the commentary, Joe, that you presented on the near term and what we could see, by the end of this current fiscal year. I would like to, could you relate the number of crews that you have in line working and preparing to work and the 5G and style and anything else that you're doing on the tower side? And if you could describe maybe some of the work processing that goes into all of this? And how is that number of crews going to change going forward? What's your thought on that?
JoeHart: Sure. Hi, George. Good to hear you back. I think we're probably in that transition right now where we're growing from about 20 or so standing crews. It varies a little bit weekends to week out. But let's say about a level of 20. And we will be growing to little over 60 crews here in the next - I'll say during the next 60 to 90 days. The balance, we tried to keep a good balance between subcontractor crews and in-house crews so that we don't over invest with the in house crews. So yes, we're very encouraged obviously, morale is really peaking and we're in a good place. And when I gave you the crew count, that's a balance of both civil crews, as well as tower crews, right, the mix of work changes a little between customers and type of work. So probably not a lot of value in giving you more detail because until the actual orders come in month by month. We won't know the precise mix of work. But overall, this is the first time we've had visibility into a backlog that takes us through the end of the calendar year. So we are very encouraged. And it's been a long time coming been making these promises quarter after quarter, it looks like it's finally here. And work has started. So it's going to be a bit of a slow ramp here in this current third quarter. May isn't very strong, but June is going to pick up quite a bit. And then July, August and September are going to be just sort of gangbuster construction month. So it truly has kicked in and we do have actual backlog.
UnidentifiedAnalyst: I see, okay. And, Joe, if you could explain a little bit more about the elaboration or elaborates on what work that you end up accomplishing away from the tower work itself. I assume you're going to be actually doing work on streets along the way and buildings, installing, is that right or not?
JoeHart: Well, right now the workload that we have in hand, for the balance of the calendar year, is principally made up of macro cell sites. As I said in my remarks, it's a combination of different kinds of work. Some customers are asking us to decommission equipment and make room for the coming 5G radios. Some customers, we're expanding additional frequencies in 4G. And then other customers, we're actually installing new 5G radios and antennas for them. And I should point out that doing more 4G work is a good thing. Because the balance of voice and I'll say text messaging is conducted over the existing 4G frequencies. And the 5G frequencies are going to be used primarily for video streaming and large data file transfers and things like that. So that the new network will be comprised of a heavy balance of both 4G and 5G frequencies. So it's all in the nature of good, and even making room on existing towers or rooftops for the coming. 5G is really advanced prep work. So it's kind of a combination of scopes of work.
UnidentifiedAnalyst: Okay. All right. Well, that sounds like it could end up being a very big job. And I think you made one comment about the potential of the ongoing business on a year-to-year basis. Do you see some of this work that's coming at you maybe further down the line in current, where you could actually sign contracts that would put you out into multiple years of activity?
JoeHart: Well, all of our service agreements with the carriers and OEMs, and integrators, they are all multi-year, typically, they are three year service agreements, and the actual work. So the sort of problem we've been in the last 12 months or so is that, we've been getting enough backlog, two, three, maybe four weeks out in front of our nose. But now we actually have as much as six months scheduled assign sight work. So the quality, quantity and the length of the backlog are really extending nicely. So we're very encouraged by that that allows us to plan for crews and, trucks and tools, just everything right warehouse space, you name it, it flows downhill. So we're feeling very encouraged by that.
UnidentifiedAnalyst: Okay. And in terms of the geographical, you mentioned that Midwest, Southwest, is the primary area, are you trying to, or will you be pushing it into any larger area? Let's say, into the southeast, from the central south part of maybe where you're working, or we'll be working and could you end up going Northwest in western part of the United States. What's your strategy on that?
JoeHart: So - the strategy document that we actually have on our website says that after the greater Midwest and Southwest, which are, top two targets and our sort of home base, that our next targets are Southeast and Mid Atlantic. We don't have the working capital or really the resource base to be chasing things in the Northeast, and the West Coast right now. So I don't envision that anytime soon. So I think would we follow any of the major carriers or OEMs, through the Southeast in the Mid Atlantic region? Most certainly, right. Those are high growth areas, Georgia, Florida, Carolinas, et cetera. But for now we have no plans to go Northeast or West Coast.
UnidentifiedAnalyst: Okay. And then question regarding your financing, that's going to be required to get this really rolling forward. Do you feel comfortable with the loan agreements that you have in place now? Or are you going to have to surge forward and try to build debt, resale agreements that are expanded?
JoeHart: We don't - for the growth that we envision for 2022 we feel that, we have adequate capital. We're doing I think a very good job, being very diligent about managing our cash. We do have the standing S3 that has been out there for over a year should the share price make a nice recovery here over the next few months. We may sell some shares via the S3, as we did last year. But we don't see substantially needing to increase our debt. As a matter of fact, should the PPP loan be forgiven, we actually see our debt level decreasing by that $2.9 million at some point here. We continue to talk to our banks about keeping our line of credit in good standing and, maybe periodically having to draw from it, but so far, we're in - we feel pretty confident about our cash position
UnidentifiedAnalyst: Okay. Well, that's encouraging and the beauty, one of the real positive things, Joe, for what you've got going at AEY is the modest number of shares outstanding at this point in time, and when you look at the overview of the huge operational improvement going forward within another three months, six months period, really creates an opportunity to create and to develop some real leveraged earnings going forward. Hopefully, that's an outsider looking in okay. And I got one question on the telco operation and the whole telephonic area, and you've done a lot of work in terms of regenerating that business. And it would seem that going forward there should be some pretty decent opportunity for you to build that business. What's your thinking on that?
JoeHart: Well, Reggie and his team have done a lot of work and including Reggie's predecessor, but so we operationally we think we have both Nave and Triton and really as optimal position as possible from an operations perspective, the Nave team has done a nice job this year, sales have increased, margins have held nicely. And so we are very encouraged on the Nave side. The Triton team is a great team and works well. I mean, they just are in a network space, of enterprise products that was hit hard by the remote work and the COVID-19. So they've restored revenue to somewhat of a normal level after a couple really bad months last year, but I think they're doing as well as can be expected, given the uncertainty around the whole, when will our offices return to work? So it's a bit of an unknown on that network, but the Nave team, both teams work really hard and does really well. And so we feel pretty blessed actually that we've had the kind of year we've had for both our telco teams.
UnidentifiedAnalyst: Alright. Okay, good. And one last thing about management, as you're looking forward down this expansive opportunity in the 5G development area, do you feel that you're going to need to add to your base management? I know you're going to do it on the crew side. And that might be required having some additional personnel on board to coordinate that kind of activity if you're going to go from the 20 crew to 60 crews or whatever. Can you give us just a little thought process on that?
JoeHart: Well, we have add - Jimmy Taylor has added recently, we added  as the Vice President for the northern region, up in Chicago, native Chicago and longtime wireless industry, construction and program management executive. Most recently worked for Mastek, probably the largest integrator in the United States. I've known Dan and we've known Dan for a long time as both a competitor and customer in the last few years. So Dan has joined us in Chicago. He just finished his first month. And then we added a fellow Shawn Rickman here to be the VP GM of the southern region. Shawn was a longtime AT&T Wireless management representative in the Texas and southwest region, and more recently with some of the other integrator. So we have added two long standing operations VPs to the team. So we've been bolstering up the team as we've gone along. So we feel we're in a good place. And we're ready to spring forward with the work.
Operator: And there are no further questions at this time. I'll now turn the conference back over to you for any additional or closing remarks.
Joe Hart: Okay, this is Joe Hart again. I want to thank everybody for joining us on the call. It's one of those mixed bag kinds of sessions where results are not good and where we want them to be for Q2. We're about halfway through Q3. We are just starting to pick up in the volume of wireless work here towards the second half of May and it should be a pretty good June but Q3 will not be anything of exception, it will be a somewhat in the pattern of Q2 but we have the backlog now and we have the trajectory to really ramp up into a very strong finish to the fiscal year. And we think we will be at a plateau to take us into a new level going into 2022. So we appreciate your interest. We appreciate your participation in the call. And thank you for being investors in ADDvantage Technologies.
Operator: Thank you. That does conclude today's conference. We do thank you for your participation. Have an excellent day.